Operator: Good day, ladies and gentlemen, and welcome to the Quarter One 2016 Parker-Hannifin Corp. Earnings Conference Call. My name is Sue and I'll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. As a reminder, this call is being recorded. I would now like to turn the call over to Mr. Jon Marten, Executive Vice President and Chief Financial Officer. Please proceed, sir.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Good morning and welcome to Parker-Hannifin's first quarter FY 2016 earnings release teleconference. Joining me today is Chief Executive Officer, Tom Williams, and President and Chief Operating Officer, Lee Banks. Today's presentation slides together with the audio webcast replay will be accessible on the company's Investor Information website, at phstock.com, for one year following today's call. On slide two, you'll find our Safe Harbor disclosure statement addressing forward-looking statements as well as non-GAAP financial measures. Reconciliations for any reference to non-GAAP financial measures are included in this morning's press release and are posted on Parker's website, at phstock.com. Today's agenda appears on slide three. To begin, our Chief Executive Officer, Tom Williams, will provide highlights for the first quarter of fiscal year 2016. Following Tom's comments, I will provide a review of the company's first quarter FY 2016 performance together with the revised guidance for FY 2016. Tom will provide a few summary comments and then we'll open the call for a Q&A session. At this time, I'll turn it over to Tom and ask you to refer to slide number four.
Thomas L. Williams - Chief Executive Officer: Thanks, Jon. And welcome to everyone on the call. We appreciate your participation today. I'm going to take a few minutes to review the quarter and touch briefly on some of our end markets and also provide an update on the new Win Strategy. To start, a few comments on our first quarter. It continues to be a very tough environment in many of our markets. We are experiencing the negative effects of the strong dollar and we witnessed further deterioration in key end market demand. We have continued with actions to adjust to these conditions. These actions include: reduced work schedules and tight control of discretionary spending in addition to the previously announced actions we have underway with regard to restructuring and our simplification efforts under the new Win Strategy. Sales declined 12% in the quarter, as the effects of the strong dollar negatively impacted us by approximately 6%, while acquisitions were slightly positive, resulting in an organic sales decline of 7%. Order rates declined 11% in the first quarter compared with the same quarter last year, reflecting ongoing market weakness, particularly in the natural resource-related markets. Despite the magnitude of the decline in sales, I am very pleased we delivered total segment operating margins of 14.5%, or 15.3% on an adjusted basis. As many of you are familiar, for some time now we've been raising the floor and ceiling on margins through the past business cycles. Our Q1 results represent the best segment operating margin performance that we have had in recent history given this tough of a macro environment and represents decremental operating earnings of just 22% on an adjusted basis. It also represents a sequential improvement of 40 basis points in adjusted segment margins from the level we achieved in the fourth quarter. There are three main drivers that impacted our margin performance. First was savings from restructuring we have done in prior years; next, the rapid response that we did on cost containment; and then lastly, the immediate benefits from our simplification initiatives. I want to take a moment to thank our entire global team for demonstrating such agility in adapting to a rapid change in demand. Earnings per share for the quarter were $1.41, or $1.52 adjusted for business realignment expenses. Operating cash flow for the quarter includes $200 million discretionary contribution to the U.S. pension plan. Excluding this contribution, operating cash to sales was 7.1%. As I have said before, Parker is committed to being a great generator and deployer of cash. During the first quarter, we repurchased $310 million worth of Parker shares. We have now repurchased $1.64 billion under our previously announced $2 billion to $3 billion Parker share repurchase program over two years, which began in October of 2014. We completed two acquisitions in the quarter, providing approximately $50 million of annual sales, including President Engineering Group in the UK, a leading producer of cryogenic valves. We also completed an equity investment in Exosite LLC, an industry-leading software provider, to enable industrial Internet of Things applications and services. We see tremendous opportunity for Parker to generate service revenues and have assigned a seasoned Parker leader to spearhead that aspect of our growth strategy. Moving on to the discussion on key market trends. We saw continued softening in some key markets that are important to our businesses, specifically natural resource-related markets, like oil and gas, agriculture, mining and construction equipment saw continued weakness. Our distribution channel was also affected, especially those distributors who are exposed to oil and gas. Although we knew these markets would be a drag on our first quarter, some of these markets contracted at a stronger than expected rate. These challenging market conditions outweighed positive growth trends in other market, such as power generation, heavy duty truck, rail and aerospace. And Lee Banks will provide some more color on the end markets in the Q&A portion of the call. Now switching to our outlook. For fiscal year 2016, we are revising our guidance for earnings to the range of $5.30 to $5.90 per share, or $5.80 to $6.40 per share on an adjusted basis. Regarding our revised sales guidance, the following are the key drivers. First, order entry levels are weaker than anticipated and have worsened sequentially through the quarter. Second, we are not forecasting any meaningful recovery in our natural resource-related end markets through the remaining of our fiscal year. And, third, we are now anticipating more softness in emerging markets and our distribution channel. These factors mean that our current guidance assumes a 5% for the whole company year-over-year decline in second half organic sales, whereas previously we had guided to a positive 2.7% increase. We continue to aggressively manage costs in this environment and, as our guidance indicates, maintain strong decremental margin performance. As many of you know, we introduced the new Win Strategy at our Investor Day last month. A week before that, we met with the top 300 leaders of our organization to share the details of how we plan to take Parker's performance to the next level. I'm excited to see how energized our team is by our plans and I'm even more optimistic that we can achieve our long-term goals. We are targeting 17% segment operating margins and an organic sales target to grow 150 basis points faster than industrial production growth by fiscal 2020. Importantly, we have changed our incentive compensation program with an increased emphasis toward rewarding for growth and we have pushed this program deeper into the organization. The new Win Strategy has established four broad goals and includes detailed initiatives for each. I'd just like to take a minute to outline a quick summary of those key goals. First is, engage people. It's all about a high engagement and ownership by our Parker team members, which will drive exceptional performance. Next is premier customer experience. So moving from more of a service mindset to creating a great customer experience enables growth. Next is profitable growth, where we're implementing strategies to grow organically 150 basis points faster than the market. And then financial performance, where we're going to be a top quartile financial performing company versus our diversified industrial proxy peer group, with year-over-year earnings growth. Our new Annual Report goes through each of these goals in detail, outlining our strategies and measures of success. As we have detailed here, many of these initiatives, such as simplification, are already underway. With the introduction of the new Win Strategy now complete, our teams are hard at work building detailed execution plans to achieve our goals. We are excited about the opportunities that will position Parker as a top quartile performing company compared to our proxy peers. And for now, I'll hand things back to Jon to review more details on the quarter.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Thanks, Tom. And at this time, please refer to slide number five. I'll begin by addressing earnings per share for the quarter. Adjusted earnings per share for the first quarter were $1.52 versus $1.89 for the same quarter a year ago. This excludes business realignment expenses of $0.11 and compares to $0.04 with the same quarter last year. On slide number six, you'll find the significant components of the reconciliation from adjusted earnings per share of $1.89 for the first quarter FY 2015 to $1.52 for the first quarter of this year. The impact of fewer shares outstanding equated to an increase of $0.13 per share. Reductions to adjusted per share income include: lower adjusted segment operating income of $0.41 per share driven by the impact of foreign currency and a continued weakening of the end markets demand and net increase in corporate G&A, interest and other expense that totaled $0.09 per share due largely to the increased debt issuance expenses from FY 2015 and lower currency transaction gains booked in the current quarter. Moving to slide number seven, with a review of the total company sales and segment operating margin for the first quarter. Total company organic sales in the first quarter decreased by 7% over the same quarter last year. There was a 0.4 contribution to sales in the quarter from acquisitions. Currency impact as a percentage of sales was slightly higher than planned, equating to a negative impact on reported sales of $187 million or 5.7% in the quarter. Total company segment operating margins for the first quarter adjusted for realignment expenses incurred in the quarter was 15.3% versus 16.1% for the same quarter last year. Restructuring costs incurred in the quarter were $22 million versus $6 million last year. The lower adjusted segment operating income this quarter of $438 million versus $525 million last year reflects the meaningful impact of reduced volume and unfavorable mix from the continued weakening of several industrial end markets. Moving to slide number eight, I'll discuss the business segments, starting with Diversified Industrial North America. For the first quarter, North American organic sales decreased by 11.3% as compared to the same quarter last year. There was modest impact from acquisitions and a negative impact from currency of 1.5% in the quarter. Operating margin for the first quarter adjusted for realignment cost was 17.2% of sales versus 18.0% in the prior year. Realignment expenses incurred totaled $8 million as compared to a nominal spend in the prior year. Adjusted operating income was $221 million as compared to $264 million driven by reduced volume as a result of the softening trends in key end markets. I'll continue with the Diversified Industrial segment on slide number nine. Organic sales for the first quarter in the Industrial International segment decreased by 5.8%. Currency negatively impacted sales by 12.7%. Operating margin for the first quarter adjusted for realignment cost was 13.6% of sales versus 15.5% in the prior year. Restructuring expenses incurred in the quarter totaled $12 million as compared to $6 million in the prior year. Adjusted operating income was $141 million as compared to $195 million, which reflects the impact of the foreign currency changes as well as weaker end markets. I'll now move to slide number 10 to review the Aerospace Systems segment. Organic revenues in Aerospace increased 2.5% for the first quarter. Currency posed a modest negative of 0.6%. The segment sales growth for the period was driven by higher commercial and military aftermarket sales volume. Operating margin for the first quarter adjusted for realignment costs was 13.9% of sales versus 12.2% in the prior year. Realignment expenses incurred in the quarter totaled $2 million. Adjusted operating income was $76 million as compared to $65 million, reflecting the favorable mix of aftermarket sales volume in the quarter combined with reduced development costs as a percent of sales. Moving to slide number eleven, with the detail of orders changing by segment. As a reminder, Parker orders represent a trailing average and are reported as a percentage increase of absolute dollars year-over-year excluding acquisitions, divestitures and currency. The Diversified Industrial segments report on a three-month rolling average, while Aerospace Systems are based on a 12-month rolling average. Total orders shifted to a negative 11% for the quarter, reflecting the further softening in natural resource-related end markets. Diversified Industrial North American orders decreased to negative 12%, Diversified Industrial International orders decreased to negative 8% for the quarter. Aerospace Systems orders decreased to negative 16% for the quarter against notably very high prior-year comparables. Slide number 12, we report cash from operations. For the first quarter, cash from operating activities was $5 million, but when adjusted for the $200 million discretionary pension contribution made in the quarter, cash from operating activities was 7.1% of sales. This compares to 8% of sales for the same period last year. The significant uses of cash during the quarter were: $396 million returned to our shareholders via repurchases of $310 million and dividends of $86 million. $67 million was expended for acquisitions closed during the quarter, $39 million for CapEx, equating to 1.4% of sales for the quarter. On slide number 13 the revised full-year earnings guidance for FY 2016 is outlined. Guidance is being provided on an adjusted basis. Segment operating margins and earnings per share exclude expected business realignment charges of approximately $100 million which are forecasted to be incurred throughout FY 2016. Total sales are expected to be in the range of negative 11.3% to negative 7.7%, or negative 9.5% at the midpoint as compared to the prior year. Adjusted organic growth at the midpoint is negative 7.2%. Currency in the guidance negatively impacts sales by 2.7%, which is nearly all attributed to the Industrial International segment, of course. We have calculated the impact of currency to spot rates as of September 30, 2015, and we have held those rates steady as we estimate the resulting year-over-year impact for the upcoming fiscal year 2016. For total Parker, adjusted operating margins are forecasted to be between 14.6% and 15.0%. This compares to 14.9% for FY 2015 on an adjusted basis. As Tom mentioned, we are very pleased to be guiding to this level of adjusted segment operating margins, given the magnitude of the end market softness and order decline. The guidance for below-the-line items, which includes corporate admin, interest and other, is $511 million for the year at the midpoint. Full-year tax rate is projected to be 29%. The average number of fully diluted shares outstanding used in our full-year guidance is 138.6 million shares. For the full year, guidance on an adjusted earnings per share basis is $5.80 to $6.40, or $6.10 at the midpoint. This guidance excludes business realignment expenses of approximately $100 million to be incurred in FY 2016. Savings from these business realignment initiatives continue to be projected in the amount of $70 million, which are reflected in the segment operating margins provided. Some additional key assumptions for full-year 2016 guidance are: sales are divided 48% first half, 52% second half. Adjusted segment operating income is divided 46% first half, 54% second half. Adjusted EPS first half versus second half is $2.68 for the first half, $3.42 for the second half. Q2 adjusted EPS is projected to be $1.16 per share at the midpoint and this excludes $0.20 of business realignment expenses. On slide number 14, you'll find the reconciliation of the major components of the revised FY 2016 adjusted EPS guidance of $6.10 per share at the midpoint from prior fiscal year 2016 EPS of $7 per share. Increases include $0.19 from reduced other expense and $0.10 from fewer shares outstanding. Key components of the decrease include a $1.14 reduction in segment operating income reflecting further reduced volume and unfavorable mix forecasted with key industrial end markets and, finally, $0.05 from increased corporate G&A and interest. Please remember that the forecast excludes any future acquisitions, divestitures that might be closed during FY 2016. For consistency, we ask that you exclude restructuring expenses from your published estimates. This concludes my prepared comments. Tom, I'll turn the call back to you for your summary comments.
Thomas L. Williams - Chief Executive Officer: Thanks, Jon. We are operating in a difficult environment, but as the first quarter demonstrates, we have responded well. I'm pleased with the progress we are making with our restructuring initiatives, which remain on track for the year. We also continue to find new opportunity to streamline operations through our simplification initiatives. What I am most encouraged by the response of our Parker team members. They are stepping up to the challenges before them and are embracing the changes we have initiated to build a stronger Parker. I am confident that we have a bright future ahead of us and I look forward to sharing with you our progress throughout this year. So at this time, we are ready to take questions. So, Sue, you could go ahead and start us off.
Operator: Your first question comes from the line of Stephen Volkmann of Jefferies. Please go ahead.
Stephen Edward Volkmann - Jefferies LLC: Hi. Good morning, guys.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Good morning.
Stephen Edward Volkmann - Jefferies LLC: I'm wondering if we could dig in a little bit just on the change of the guidance sequentially. Obviously things sort of deteriorated through the quarter here. I think you made a comment that it kind of got worse as the quarter went along. And I'm wondering if you could just flush that out a little bit and if I am right about that. But more importantly, what really deteriorated? Do you have more energy exposure than you originally thought? It seems like the stuff that's not commodity-related has been fairly stable, but correct me if I'm wrong there. Maybe just a little bit more color on how this progressed through the quarter and what's really driving it.
Thomas L. Williams - Chief Executive Officer: Yeah, Steve. This is Tom. And I'm sure that's the key question everybody has. And I'll start off by giving you an overview of how our thought process changed and what was behind revising the guidance. I'm going to hand it over to Lee to go ahead and go through the markets in more detail. But what really changed during the quarter was order entry levels weakened more than we anticipated and September was much more worse than we had expected. And as we had mentioned in the Investor Day, those of you that were there, September is always a key month. It's really a key indicator for how the quarter is going to be. July and August are always somewhat suspect because of the levels of vacation and holidays between North America and Europe. And September is your first good indicator for the quarter and also it's a really good indicator for what the rest of the year potentially is going to look like. So September turned worse; that was the first influence. Also based on the roll-up that we've gotten from our divisions, our customers, talking to our distributors, we're not forecasting any kind of recovery in the natural resource-related markets in the second half of our year, which we originally were forecasting some kind of recovery there. So oil & gas, construction, ag, and mining are soft and actually are softer than we had expected and they're going to continue that way through the remainder of the fiscal year. We're also anticipating more softness in the emerging markets. We had anticipated China and Brazil; they were soft. They have softened worse through the course of the quarter. And then what you were referring to, Steve, about kind of the oil & gas impact, clearly oil & gas impacted North America the most. But there's clearly a knock-on effect that is felt throughout the rest of our end markets, in particular for our distributor channel which is a big part of the company. It felt the reduction in oil & gas and it has felt it across the whole board. So we've seen distribution soften quite a bit in the quarter and that's a change for us for what we think the full year is going to be. So in general, we had forecasted softening in the first half with some small lift in the second half. That was our original guidance. So now what we're saying is that the first half is going to be softer than we thought before and we don't see any kind of recovery in the second half and the second half will be soft as well. So with that kind of as a overarching summary, I'm going to let Lee go through the end markets in more detail.
Lee C. Banks - President and Chief Operating Officer: Great, Tom. Thanks, Steve. So just kind of reiterating what Tom said, if you look at it, it's continued softness in some of these natural resource-driven markets and then the continued softness regionally and by country in Europe, China and Brazil. And then let's not forget about currency; it continues to be a major headwind. If we look at North America, maybe starting there, we mentioned in Q4 a slowdown in distribution. And it's clear that that slowdown continued in Q1. I would say it was largely attributed to those distributors with exposure to oil & gas, but you couldn't help but see a knock-down effect in some of other distribution with some of their order entry and business. We do continue to see destocking in the channel. Our best bet is we'll continue to see that destock through Q2. As I mentioned earlier, distribution outside of oil & gas, in some areas it's okay and in some areas it's just moderate to slightly negative. So maybe it's an effect of a strong dollar in some key markets, but it's certainly not as robust as we saw last year. And then if I look oil 7 gas, we continue to see contraction across all sectors, but specifically the upstream sectors. Offshore activity and land-based activity continue to be very soft. The last rig count numbers I saw was down 57% versus prior year, so significant reduction. And I think the one thing, even though business is soft, we're encouraged really by some of the wins with new products we've had in these industries. And we are seeing great opportunities in service businesses that we've launched and are working with some of these key customers. Agriculture, we talked about earlier, continues to be very soft. In energy, and this is really around power generation, we do continue to see positive trends there, both in traditional and renewable. In the traditional, it's really not new plants being added; it's a conversion from coal to natural gas. And that's been a great opportunity for us. And we're also very encouraged by progress with our Energy Storage business unit. which we've highlighted before in the past. On heavy truck, Class 8 build continues to be strong, although at somewhat of a more modest rate here in Q4, but we're still expecting progress for 2015 over 2014, and the forecasts we have for 2016 continue to look good. And this is another industry where we continue to experience growth from a positive markets, but also with some of the technologies that we've introduced to aid in emission controls in that industry. On Mobile, really off-highway, continued softness in mining and construction equipment. Turning to Europe, General Distribution is up year-over-year, but like North America, those areas impacted by oil & gas are a major headwind. We have some distributors near the North Sea that are off as much as 55% to 60%, so significant impacts there. But from a country standpoint, we do see positive year-over-year performance in countries like Germany, Spain, and the Netherlands from an Industrial standpoint. On Construction, we do see positive trend in higher-end domestic construction equipment markets. But those customers that are focused really around export, their businesses are badly depressed, mainly by what's happening in Russia and some of the other emerging markets in the Middle East. Oil & gas, as I mentioned earlier, that activity is very slow. We have seen a lot of major capital projects in the Middle East and North Sea have been delayed and moved out for a significant amount of time. Agriculture, continued softness. Issues continue to be compounded by really what's happening in Russia and the Ukraine. And then in truck, there really continues to be excellent strength in the heavy end of the market. Let me just turn to Asia now, if I can. We do see continued contraction in China. I think that's a little slower at this point than what we had expected. And we're not really forecasting anything significant there in general. We've seen continued weakness in construction equipment markets there. I'm not sure it can go to zero, but it is getting close. Distribution still growing, really through added locations, but as a whole I would say we're flat to moderately down. Power generation, I mentioned earlier. That still is a positive for us in our participation there. And I'd say one key area has been rail. China has really stepped out as a leading provider in both high-speed and metropolitan transportation. And we've been working with those customers closely and have had some great success there. And then lastly I'll just touch on Latin America. I think you know really the story continue to be Brazil; significant currency devaluation, continued contraction in GDP. We do see positives. Again, this common theme around power generation. We see it throughout Brazil but also in countries like Chile, Colombia, et cetera. Heavy truck contraction, it's really down 50% year-over-year in Brazil. Same thing, continued softness in construction equipment and ag. But we're also, like North America, we've made some really great progress in maintenance and services businesses with some of the CapEx that's already been deployed around oil and gas. You got a lot there, Steve.
Stephen Edward Volkmann - Jefferies LLC: I appreciate it. Just one quick follow-on. Can you guesstimate how much of the distribution exposure is in energy? And then I'll pass it on.
Lee C. Banks - President and Chief Operating Officer: I wouldn't really be able to guesstimate right now. I would say those distributors around Southwest, Gulf and Western Canada have more exposure, but I'd be hard-pressed to give you a number right now.
Stephen Edward Volkmann - Jefferies LLC: Okay. Thank you.
Operator: Thank you. And your next question comes from the line of Hammond from KeyBanc. Please proceed.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Hey. Good morning, guys.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Morning, Jeff.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: So decremental performance, very good in the quarter. And it seems like in the guide, you're seeing that as sustainable. So I guess as you get further into this downturn, what's your confidence level you can sustain that? And maybe just speak to what you think you're doing differently in the cost structure maybe this cycle versus last cycle to be able to hold those decrementals?
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Well, Jeff, I think one of the things that we're most proud of is our ability to maintain these margins, as Tom said, given the downturn that we saw in Q1 and, like you said, as we are foreseeing for the balance of the fiscal year. As we've been speaking about in many of our forums, we have done quite a bit of restructuring last year and the year before. That prior restructuring is serving us very well as we continue to get the savings from that this year and throughout the balance of the year. We also have been responding very quickly at each one of our operations throughout the world to the changing market conditions and we are much quicker responding today than we were in the prior downturns. And that is something that is serving us very well. And then lastly, with the new Win Strategy and our simplification efforts that we talked about last year, that has been kicking in in a very, very good way for us. We're very enthusiastic about our ability to maintain our margins in the area that you see in our guidance. And our simplification efforts we see being a very powerful driver for us from a margin standpoint going forward here. And that is one of the very important elements of the financial performance in the new Win Strategy that we're going to be focusing on going forward here. So I would say that those are the three major changes and things that are a little bit different than we've seen in prior downturns for us.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay, great. And then you mentioned September worsening. Can you just maybe speak to how that trended into October? And then also on the distributor destocking, I think, Lee, you said you thought that continues through calendar year end. What's really in the guidance around distributor destocking?
Thomas L. Williams - Chief Executive Officer: Jeff, it's Tom. I'll start first with September. So September worsened. We saw July come out about how we expected. August turned a little bit better, so we were a little bit optimistic. Then September got worse and that continued. And basically what we've seen in October is reflective of what we've done in our revised guidance. And I guess just on the destocking part, what's in the guidance is destocking finishing end of this calendar year, so end of Q2, early into Q3.
Jeffrey D. Hammond - KeyBanc Capital Markets, Inc.: Okay, thanks.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Thanks, Jeff.
Operator: Thank you. And your next question comes from the line of Jamie Cook from Credit Suisse. Please go ahead.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi. Good morning. I guess my question centers around just pricing as well as material costs. I think there's increased scuttle in the channel that pricing has deteriorated. So I'm wondering if you could give some color on what you're seeing and what your assumptions are in terms of pricing for 2016 and then also what your assumptions are on the material cost side. Thanks.
Lee C. Banks - President and Chief Operating Officer: Yeah, Jamie. It's Lee. So overall, you're right; it's a challenging environment on pricing and it's a favorable environment on material costs. So I would say in our guidance, it's just basically flat going forward. It's going to continue to be a challenging environment. That's the best way I can characterize it for you.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): But I guess when you think about – is it specific to a certain end market or type of customer? You know what I mean? Or can you talk just more broadly competitively like what you're seeing, just any color I guess besides it's bad?
Lee C. Banks - President and Chief Operating Officer: I would say pricing is most challenged around those markets that are down significantly. So if you think about the oil and gas markets we talked about, where there is just really no significant demand right now. We continue to have great pricing opportunities in markets outside that. But there is some momentum in some of those key end markets that do make it a challenging environment. And that, plus coupled with the fact that you have this deflationary effect going on with materials, it just makes it a – we're still positive, but it's a challenging environment.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. And then I guess just my second question just relates to capital allocation. I know this year your guidance implies your share count doesn't change from where we are in the first quarter. Can you just talk about has there been any change in priority or acquisition or acquisitions popping up as more favorable? I don't know if pricing is getting any better relative to like a year, 12 months to 18 months ago, when the pricing environment on acquisitions just wasn't in your favor?
Thomas L. Williams - Chief Executive Officer: Yeah, Jamie. This is Tom. So I'll start with the capital allocation priority. So they haven't changed versus the dividends. We want to maintain that increased record. And our target is 30% pay-out to net income. And we're at that and we're above that, on going the last 12 months, we're quite a bit above that. The next would be organic growth to fund CapEx for organic growth and innovation as well. And then when we look at share repurchase and acquisitions, it's really looking at a case-by-case basis and making the best decision that generates the best long-term value for our shareholders looking at those two in comparison. On the share side, you saw what we did in the quarter. So we bought $310 million of shares, approximately $112 a piece. So we're now at $1.64 billion, so we're 82% of the way to the low end of our commitment. And we're still committed to that $2 billion to $3 billion range and I think we're making good progress on that. On the acquisition front, we continue to work that pipeline. But just by nature, how acquisitions work, they're going to be lumpy, they're going to be difficult for us to predict and give you any kind of visibility to. But I would tell you valuations still from our perspective are high. And we're disciplined buyers and so there's been several properties that we've passed on because of that. And we'll just continue to work it and we'll have to see what yields out of it. But, again, it's looking at that in conjunction with share repurchase and making the best long-term decision here.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay, thanks. I'll get back in queue.
Operator: Thank you. Your next question comes from the line of John Inch from Deutsche Bank. Please proceed.
John G. Inch - Deutsche Bank Securities, Inc.: Thank you. Good morning, everyone.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Morning, John.
John G. Inch - Deutsche Bank Securities, Inc.: Morning. So, hey, Jon, you called out unfavorable mix as part of the walk from the $7 to the $6.10 within the $1.14 drag versus your prior expectation. And then, Lee, you just said that you're not expecting any pricing, so I want to square those two. In other words, what's actually happened with respect to mix in three months that warranted calling that out, especially if price is only flat, right? So unfavorable mix implies there's price degradation or realization in some manner. Could you just talk to that and maybe the context? Is it significant, the $1.14? I mean, just trying to make sure I'm triangulating all these points.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Sure. I think when I talked about mix, I talked about the change in volume. And as we go forward and we look at all of our end markets, as the volume in the higher margin end markets reduces, that is having a impact on our margins that outweighs all the other end markets that we have. And so historically, John, North America has been progressing very well in terms of our sales growth over the last several years. What we're starting to see now, and you see it in our orders and you see it in our guidance, is that North America sales increases, this is actually now of course decreases are more pronounced in North America than they are in our International Industrial markets. And so from a mix standpoint on that volume, we are being impacted disproportionately, so.
John G. Inch - Deutsche Bank Securities, Inc.: Okay. Okay, so you're saying basically lower volume in North America is translating into lower realized overall profit within Industrial. I think that's what you're saying.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Right. More of a volume issue than a pricing issue here for us.
John G. Inch - Deutsche Bank Securities, Inc.: So, in other words, Jon, when you look at North America rolling orders down 11%, is that all volume? Or is there also little bit of degradation – like is that all a unit volume or is there any kind of price degradation that bakes into the 11%?
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: It's primarily almost all volume; it is not pricing, John.
John G. Inch - Deutsche Bank Securities, Inc.: Okay. So then, Lee, when you said pricing is now going to be flat, can you just remind me what was that versus? Did you previously think it was up like 0.5% or something? Or is it, kind of squaring with Jon's comments, not really that material?
Lee C. Banks - President and Chief Operating Officer: I'm sorry, John. I lost you the last half there, but...
John G. Inch - Deutsche Bank Securities, Inc.: Oh. Jon is making the point that it's kind of the change here, which is fine, is volume and there's associated decrementals. But you made the comment to Jamie that now you expect price to be flat. So I'm just trying to understand is, what was that versus? In other words, you had been hoping that price was going to improve, but it's now flat? Or it's actually gone a little softer? That's all. I'm just trying to make sure I'm dotting all of my i's.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Yeah, just to try to connect the dots here for you. When Lee was talking about pricing being flat, we're really talking about our process inside the company that where we take every part that we ship today in every single one of our divisions and we compare the price of that part today to that price of that same part that we shipped the exact same time last year and we calculate a sales price index. And in that sales price index that Lee is talking about, it's basically flat. And that is the flat pricing that we're seeing overall that Lee I think was referring to. Does that help?
John G. Inch - Deutsche Bank Securities, Inc.: Yeah. He also – well, he is right there. Lee, you also made the comment that pricing is – you almost implied it was increasingly perhaps challenging. The reason I'm harping on this is price is one of these buzzwords right now that people are throwing out. And the companies are sort of not suggesting, including your own, that there's really that much realized price degradation versus the chatter of potential. I just want to make sure you're not really (42:48) more substantial.
Lee C. Banks - President and Chief Operating Officer: So realized price degradation is not something I worry about...
Thomas L. Williams - Chief Executive Officer: Okay.
Lee C. Banks - President and Chief Operating Officer: ...for the company. There are certain end markets that are price challenged and there are certain markets that are not price challenged. When you kind of sum it up across the board, it is kind of a zero-sum game. But I don't worry about price degradation as a whole for the company.
John G. Inch - Deutsche Bank Securities, Inc.: Got it. Just lastly, $70 million of restructuring savings. How does that delineate over the next three quarters?
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: It's a total of $20 million in the first half and $50 million in the second half, John.
John G. Inch - Deutsche Bank Securities, Inc.: Okay, got it. Thanks very much.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Sure.
Operator: Your next question comes from the line of Josh Pokrzywinski, Buckingham Research. Please proceed.
Joshua Pokrzywinski - The Buckingham Research Group, Inc.: Hi. Good morning, guys.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Hi, Josh.
Joshua Pokrzywinski - The Buckingham Research Group, Inc.: This is a follow-up to Jeff's question earlier on the decremental margin management. It looks like as it pertains to the 2Q guide, you guys actually did a little better managing that sequentially. And I would think with all the comments around destocking, particularly in distribution where you have some better mix, presumably you're also destocking in your own facilities, so maybe absorption is a little lighter, I would imagine that something between some of the input cost deflation, restructuring savings are helping bridge that. Can you maybe talk about how that squares out, either by 1Q, 2Q, first half, second half, just so we can help square up volume versus some of the other discreet items coming through?
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Yeah. I think that it's really hard to articulate very quickly the depth and breadth of the restructuring that we've done in the prior years and how that is impacting as the year goes on our decremental margins. One thing to just point out, Josh, would be the early retirement that we announced in Q4 of last year. That is largely going to start having major impacts on our business in Q2. So what we did is go through each one of our operations and, with this new volume that we're looking at, make sure because we saw how favorable these decrementals look, that we've got the actions either already completed and the savings started, or that we are realizing benefits from programs that we put in place last year and the year before, frankly, in some economies, that are going to be impacting the bottom line for Q2. So we feel very good about the guidance that we gave there. And we realize that the decrementals are something that are, at first glance, could appear to be aggressive.
Joshua Pokrzywinski - The Buckingham Research Group, Inc.: Is that fair, though, the earlier supposition that you guys are destocking internally to go along with what your customers are doing? So, I guess, should we look at that performance as even kind of better versus the absorption headwind?
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: I think so. I think so. We're able to handle the absorption headwind with the reduced volume with the amount of restructuring that we've planned on doing. And I can't emphasize enough the power of a simplification program where we are trying to make the company a lot more efficient, a lot less reliant on indirect overhead that is really not adding value, and really being able to push our margins in directions that we've never seen before in the history of the company. And so, yes, we're able to overcome the lack of absorption overhang that we're going to see in Q2.
Joshua Pokrzywinski - The Buckingham Research Group, Inc.: All right. Thanks, guys.
Operator: Thank you. And your next question comes from the line of Andrew Casey of Wells Fargo Securities. Please proceed.
Andrew M. Casey - Wells Fargo Securities LLC: Thanks a lot. Good morning, everybody. Wanted to ask a question on the revenue guidance. If I take your midpoint and the comment about the split, 48% to first half, it kind of implies Q2 revenue down about 15%. And I'm trying to square that with the comment about fiscal second half being down about 5%. So could you talk about the components of that Q2 forecast, meaning organic and currency? Because I'm trying to understand the step-up from 15% down to 5% down. Is that all currency or is there something else built into the outlook?
Thomas L. Williams - Chief Executive Officer: Andy, it's Tom. I'll start and then Jon can fill in details if there's more follow-up that you have. But in the second half, that 5% I was talking about was total company. So that has the Industrial piece being down worse and Aerospace being more positive. Currency is around, for our mid-point, currency is about 2.7 points of the 9.5% for the full year. And you are about right with what you thought for Q2; we have it around 14% down on sales.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thank you, Tom. And then one specific question, maybe Jon can help out. In the quarter on cash flow, there was about a $265 million consumption related to other assets and liabilities. And that's the highest in a few quarters. Can you kind of detail what was in that?
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Well, in that case, there was – we really only did three major things in the quarter. We bought stock, and that's $310 million, we made a pension contribution of $200 million and we made acquisitions of $67 million for the quarter. So those are the major changes. There are some movements in the cash flow related to tax, the equity investment that we made in the Internet of Things company that Tom referred to and a few other things, Andy, but that's really the lion's share of the uses of cash here for us in the quarter.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Just a follow-up on that, Jon. Thank you. So the $200 million of pension funding, would that be within that $265 million?
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Yeah.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thank you.
Operator: Thank you. Your next question comes from the line of Joe Ritchie, Goldman Sachs. Please proceed.
Joseph Alfred Ritchie - Goldman Sachs & Co.: Thank you. Good morning, everyone.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Morning, Joe.
Joseph Alfred Ritchie - Goldman Sachs & Co.: So my first question, I guess just trying to get my head around the top-line reduction was roughly about $1 billion in revenue. And you guys kept the restructuring plans and simplification plans at roughly $100 million. How much of that is a question of internal capacity to actually do additional restructuring, given what you have in place today, as opposed to just feeling like the $100 million is the right number and aligned and you'll be at the right place even in a lower-growth environment?
Thomas L. Williams - Chief Executive Officer: Joe, this is Tom. I think what we're finding on the restructuring is a couple things. One, we're able to do a lot of the projects less expensive than what we anticipated. So we're actually adding to the project list. We didn't change the number to you, but we're adding extra projects because we've been more efficient on the ones that we already looked at. Simplification in general is a more efficient way of deploying restructuring spend because it's not dealing as much with footprint consolidations, plant closures and all that, which carry typically more cost. It's more focused on SG&A, the overhead piece of things. And so when you do division consolidations, you look at optimizing organization, structure, processes. When we did the early retirement, we looked at organization design changes to not have to replace people in kind, at least not one for one. All those changes can be done more efficiently without the same level of restructuring. So we are actually doing more within that envelope of $100 million. We just didn't need to change the dollar amount because we're just being more efficient.
Joseph Alfred Ritchie - Goldman Sachs & Co.: All right. That's helpful color there, Tom. Maybe just asking a little more detailed question on one of the segments. Haven't really heard much about Aero yet. Orders deteriorated double-digits now for the second quarter in a row. I'm just curious what's going on there. How should we expect that to read through to growth, not just in this year but also into next year? Because it tends to be a little bit longer cycle.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Yeah, Joe, Jon here. Just to give you first top-level answer to that. Keep in mind that when we publish our Aerospace numbers, they are a 12-month rolling forecast. And last year – the comparables are tough for us for right now because last year we booked several multi-year, multi-program large orders. And those large orders that we booked ran our 12-month number way up. We were up, approximately this time last year, we were up 12%. And so we're looking at we're down 16% now. It's not really nearly as severe as it appears. We're still confident in our growth rates going forward in the 4% level in Aerospace. So I completely appreciate the question and how that looks very unusual. We've been taking a really hard, hard look at that and we feel confident that it was just that series of multi-program, multi-year orders that we booked based on contracts that we received that were fully priced and scheduled out that drove our orders up at that point in time.
Joseph Alfred Ritchie - Goldman Sachs & Co.: Okay, great. I'll get back in queue. Thanks, guys.
Operator: Thank you. Your next question comes from the line of Nathan Jones from Stifel. Please go ahead.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Good morning, everyone.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Hi, Nathan.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: A question on the guidance first. There is a $30 million reduction in corporate expense for the year. Can you give us some more color around that?
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Nathan, that is primarily – the biggest driver there is as a result of the pension contribution that we did in August, our pension expense for our underfunded plans is going down. And that's the major driver.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Okay, that makes sense. And then on the free cash flow conversion dip down 90 basis point year-over-year, been hearing several companies talk about difficulty with collections, primarily in emerging markets in this environment. Is there any impact there to you? Or what is the reason for that 90 basis point lower conversion?
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Yeah. Well, if you're talking about – we really have two things going on here in the quarter. We are looking at DSO very carefully. We are not seeing any degradation whatsoever. But we are very aware of the issue and we are very focused on that. The issue for us was really in our inventories. We will see that correct in Q2 and Q3 and we'll see better cash. We always perform much better from a cash environment and we've been able to prove that over the years as things start to slow down a little bit. So we're fully confident. But I think it's mainly our performance in inventory that is the outlier there that we'll see correct as the year goes on.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Okay. And then you were talking about the sales price index not changing. I know you also track a cost price index. Are you seeing any more or less favorable outcomes there?
Thomas L. Williams - Chief Executive Officer: Yeah, Nathan. This is Tom. Yes, we're working that hard as one of the initiatives that we have. If you remember from our walk to 17% ROS on the operating margin side is working the supply chain. And, yes, we are seeing improvements and we will continue to work that. We'll work that on the indirect side, which doesn't necessarily show up in our purchase price index, but shows up in lower expenses, which is part of helping us in our margin on returns. But, yes, we're working that hard. And when I look at SPI to PPI, it's neutral to slightly positive, that comparison.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: Do you think you can hold that positive for the year?
Thomas L. Williams - Chief Executive Officer: I think so, yes.
Nathan Jones - Stifel, Nicolaus & Co., Inc.: All right. Thanks very much.
Thomas L. Williams - Chief Executive Officer: Okay. Sue, we'll just take one more question, please.
Operator: Thank you. And that question comes from the line of Andrew Obin, Bank of America Merrill Lynch. Please proceed.
Andrew Obin - Bank of America Merrill Lynch: Hi, yes. Good morning. Thanks for fitting me in.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Hi, Andrew.
Andrew Obin - Bank of America Merrill Lynch: So the question in terms of leverage versus lower earnings forecast, how should we think about your willingness to take on leverage in this notably weaker environment yet an environment that could down the road present M&A opportunities?
Thomas L. Williams - Chief Executive Officer: Well, Andrew, this is Tom. I think, as always, we want to make the best long-term decision for our shareholders looking at acquisitions versus share repurchase. We still are committed to our A rating, and so that's a function that we look at all the time. So when we do our cash allocation discussion every quarter, we look at cash generated versus where we are in our debt to debt equity relationship and we make the best decisions that we possibly can on behalf of the shareholders. But certainly the A rating is a controlling device that we use. And I think it's been helpful for us. And the bulk of our peers, if you look at they're all A rated. And we think that's an advantage for us to continue to do that.
Andrew Obin - Bank of America Merrill Lynch: And in your view, I know that rating agencies have been company-specific, but what does it mean in terms of sort of the upper band of leverage you would be comfortable with?
Thomas L. Williams - Chief Executive Officer: We typically work to a 37% debt to total cap.
Andrew Obin - Bank of America Merrill Lynch: Thanks.
Jon P. Marten - Executive Vice President-Finance & Adminstration and Chief Financial Officer: Thank you, Andrew. And this concludes our Q&A and our earnings call for today. Thank you so much for everybody joining us today. Robin will be available throughout the day to take your calls should you have any further questions. And thank you. Have a great day.